Operator: Good day and welcome to the Arrow Electronics conference call to discuss their fourth quarter earnings. At this time, I would like to turn the call over to Greer Aviv for opening remarks and introductions.
Greer Aviv: Good afternoon everyone and welcome to the Arrow Electronics fourth quarter conference call. I am Greer Aviv, Manager of Arrow’s Investor Relations Program and I will be serving as a moderator on today’s call. If you would like to access today’s call via webcast, please visit our Investor Relations website at www.arrow.com/investor and click on the webcast icon. With us on the call today are Michael Long, Chairman, President and Chief Executive Officer; Paul Reilly, Executive Vice President and Chief Financial Officer; Andy Bryant, President Global ECS; and Peter Kong, President Global Components. By now you should have all received a copy of our earnings release. If not you can access our release on the Investor Relations section of our website. Before we get started I would like to review Arrow’s Safe Harbor statement. Some of the comments to be made on today’s call may include forward-looking statements including statements addressing future financial results. These statements are subject to a number of risks and uncertainties that can cause actual results or facts to differ materially from such statements for a variety of reasons. Detailed information about these risks is included in our SEC filings and you can refer to our 10-K which was filed this morning. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. As a reminder to members of the press, you are in a listen-only mode on this call, but please feel free to contact us after today’s call with any questions you may have. At this time, I would like to introduce our Chairman, President, and CEO, Michael Long.
Michael Long : Thank you Greer, and thanks to all of you for taking the time to join us this afternoon. We ended the year on a very positive note with sales, earnings per share, and cash flow well above our expectations. Our results reflect the exceptional work of our employees around the globe and demonstrate our commitment to our strategic priorities despite the external economic environment over the past year. In 2009, it has been a particularly challenging year, with the world’s economies in a recession. Despite this we’ve made great strides to accelerate our sales excellence strategy, advance our industry leading position and simplify our business and strengthen our financial base. Our sales excellence strategy is creating great short and long-term sales opportunities and we’re committed to growing market share. I’m pleased with the positive trends we’ve seen across our business. The current recession has been more broad based and deeper than expected, so the industry still has some recovering to do before revenues return to the levels seen prior to the downturn. We’ve made great strides over the past year which can be seen in today’s results. In global components we’ve seen a significant improvement in revenue and improving gross margin in all regions, with this segment posting its first year over year sales increase since the third quarter of 2008. All of our components groups performed better than expected and North America and Europe saw sales growth well ahead of normal seasonality. Our enterprise computing solutions business also had a strong quarter. Sales growth in North America coming off an unusually strong third quarter was in line with the upper end of normal seasonality and our European business outperformed normal seasonality. While we have been focused on streamlining and simplifying the organization we took further steps to contain and reduce costs during the downturn. And we have successfully implemented the majority of the cost reduction activities we announced to you throughout 2009. These actions will allow us to accelerate our growth strategy for 2010 and beyond. Operating expenses declined 9% year over year in the fourth quarter despite a resumption of sales growth. We continue to invest in initiatives to grow the business including our vertical markets, geographic expansion, and our global ERP implementation. Our organic growth strategies are supported by a disciplined approach to mergers and acquisitions. An example of this is our completed acquisition of A.E. Petsche, a leading provider of interconnect products including specialty wire cable and harness management solutions to the aerospace and defense markets. A.E. Petsche will expand our product offering in specialty wiring cable, greatly increase our presence in the aerospace and defense market, while adding to our breadth of customer base. It also allows for a variety of cross selling opportunities with our existing business as well as other emerging markets. We have been able to self fund all of our growth initiatives with our exceptional cash flow generation. Almost $850 million in cash generated this year. Our approach to working capital management resulted in more than a 300 basis point year over year reduction in working capital to sales in the fourth quarter representing a record low level for Arrow while our return on working capital was almost 32%. A level we have not seen since 2007. In 2009 we achieved a number of significant milestones in our global ERP project. We completed a transition of our North American ECS segment with all of our businesses in this region now operating on a single Oracle platform. In July we launched the Oracle enterprise resource planning solution to the Arrow Global Components employees in Australia New Zealand and retired the legacy system. We look forward to future successful implementations throughout the global components organization. While this project is a marathon versus a sprint, each deployment brings Arrow one step closer on the journey towards a global ERP system. Let me now turn to our business results. Global components had sales of $2.6 billion, came in at the high end of our guidance driven by better than expected performance in all three of our core geographies. North America and Europe have continued to show improving sales trends with both regions delivering sales growth well ahead of normal seasonality. In Asia Pacific sales were relatively in line with normal seasonality coming off a stronger than expected third quarter. The global components business experienced its first sequential increase in gross margin in more than a year. This trend should continue as the economic recovery picks up and as trends throughout the supply chain return to normalized levels. The supply chain continues to be the most efficient we’ve seen compared to any other downturn. While we have seen lead times for specific products stretch out we have not seen any material increases compared to historical averages and we continue to manage our inventory at an appropriate level. Our book to bill was well above one on a global basis, this is up from the same quarter a year ago and up from the third quarter. Levels strengthened in all regions on both a year over year and sequential basis. Our cancellation rates are well within normal historical averages and even below historical levels in some regions. The results of our quarterly customer survey in North America show the outlook for purchase requirements heading into the first quarter strengthened on a sequential basis and are well above a year ago level. Additionally the majority of the surveyed customers believe they have the appropriate level of inventory, a data point we have not seen since the second quarter of 2008. As always we will continue to monitor the behavior of our customers and suppliers closely. We have made great strides to further simplify and unify global components in all regions. While we have seen a number of encouraging signs we still do not know for sure when the global economy will ultimately rebound to normal levels. We are confident that we are well positioned to take advantage of the opportunities in the marketplace and ensure we outperform the market. Enterprise computing solution segment sales of $1.6 billion increased 42% off an unusually strong third quarter in line with the high end of normal seasonality. All of our product lines showed significant double-digit sequential increases in sales and we experienced year over year growth in industry standard servers, software and services. Our diversifies and expanded portfolio of product offerings and our focus on high growth enterprise markets like storage and software, have allowed us to strengthen our industry leading position during the downturn. Geographically sales in North America were in line with normal seasonality increasing 31% from the third quarter which was also stronger than normal. Our efforts on expense control resulted in an increase of our operating margin on both a year over year and sequential basis and we achieved excellent leverage. In Europe sales growth was ahead of normal seasonality. We have successfully integrated our European operations and the benefits of our geographic expansion and increased scale is evident. We saw material increases in operating profit on a year over year and sequential basis while the operating margin in this region reached a record level. As a team we gained market share worldwide and managed our balance sheet to levels never before achieved. This positive momentum should continue into the first quarter and we would expect sales to be in line with the high end of normal seasonality. I am pleased that we finished 2009 with such a strong close in global components and global ECS. We were faced with significant challenges over the past 12 months and we met those challenges head on and responded by making tough choices that would not only protect our business but better position us for the eventual upturn. In summary we performed very well in the fourth quarter exceeding our sales, earnings per share, and cash flow targets. The actions that we have taken over the past year will allow us to accelerate our strategic evolution to a sales excellence organization and capitalize on our leading industry position. We continue to deliver to our commitment to simplify the business, while remaining focused on our long-term goals by managing the business well. Paul will now give you a more detailed review of our fourth quarter financials.
Paul Reilly : Thanks Michael, as reflected in our earnings release there are a number of items that impact the comparability of our results with those in the trailing quarter and the fourth quarter of last year. I will review our results excluding these items to give you a better sense of our operating results. As always the operating information we provide to you should be used as a complement to our GAAP numbers. For a complete reconciliation between our GAAP and non-GAAP results please refer to our earnings release or the earnings reconciliation slide at the end of the webcast presentation. Fourth quarter sales of $4.2 billion were well ahead of our initial expectation and represent an increase of 3% year over year and an increase of 15% on a sequential basis. This marks the first quarter of year over year sales growth in over a year. Global component sales of $2.6 billion increased 6% year over year and 2% sequentially or an increase of 2% year over year and 1% sequentially excluding the impact of foreign exchange. Our gross margin saw a 100 basis point increase compared to the third quarter but do remain below the year ago levels. As always we are focused on improving operational efficiency and cost containment activities throughout our global component organization. We decreased operating expenses by 11% year over year despite the resumption of sales growth. Our operating margin increased 40 basis points year over year and 80 basis points sequentially while operating profit grew significantly faster than sales demonstrating the significant leverage in our business. Disciplined working capital management resulted in a 460 basis points year over year decrease in working capital to sales while return on working capital increased 700 basis points. Sales in North America declined 1% year over year and increased 6% sequentially, well ahead of normal seasonality. This outperformance was driven by strength across the board while we saw a strong double-digit sequential growth in a number of vertical markets including lighting and medical. We continue to focus on improving operating efficiency resulting in an increase in operating margin of 170 basis points and 120 basis points on a year over year and sequential basis respectively. Most importantly our operating margin in North America is now ahead of the midpoint of our long-term target range for the global components business. Looking ahead to the first quarter we would expect sales to be above normal seasonality in North America. Sales in Europe have also begun to recover as revenue was down only 4% year over year and increased 8% sequentially significantly better than normal seasonality. Excluding the impact of foreign exchange sales were down 13% year over year and up 5% quarter over quarter. The better than expected sales growth was driven by contribution from all regions and end markets with particular strength in the lighting and transportation markets. We have instituted the majority of the expense reduction activities in Europe, have seen a 90 basis point reduction in operating expense to sales compared to the year ago period. On a sequential basis, operating income grew six times faster than the sales growth. In the first quarter we would look for sales to continue to improve and expect revenue to be ahead of normal seasonality. In Asia Pacific sales increased 26% year over year and declined 6% sequentially. Sales were relatively in line with normal seasonality although they came in ahead of our expectations driven by strength in our EMS customer base and our small and medium sized customer base in China. Improved gross profit performance and expense control throughout the region resulted in an increase in operating margin of 70 basis points year over year and 30 basis points sequentially. Operating profit increased almost four times faster than sales growth on a year over year basis demonstrating our leverage in our business. While our visibility is somewhat limited post Chinese New Year, we would expect sales in the first quarter to be ahead of normal seasonality. Global enterprise computing solutions sales decreased by 2% year over year and increased 42% sequentially to $1.6 billion in the fourth quarter. Business process simplification remains a priority for our ECS business and our focused efforts resulted in operating expenses declining 15% year over year while growing less than 7% sequentially in the face of a 40%-plus increase in sales. The fourth quarter for ECS once again demonstrated the leverage they had in their model when revenue growth resumes with operating income growing more than 2.5 times faster than sales on a sequential basis. Focused management of working capital resulted in a decrease in working capital to sales of more than 200 basis points year over year and a substantial increase in return on working capital. Our consolidated gross profit margin was 11.8% a decrease of 90 basis points year over year primarily due to an increase in the mix of our business from Asia Pacific as a percentage of total sales, ongoing pressure in the more profitable European components business compared to a year ago, and changes in product mix. On a sequential basis gross margin increased 30 basis points driven by increases in the North American and European component businesses. Gross margin in our core small and medium sized customer base continued to perform better this quarter decreasing only 60% year over year but increasing 100 basis points sequentially. Interestingly this is the second consecutive quarter where we have seen a sequential improvement in our core North American and Asia Pacific customer base which is an encouraging sign and Europe’s sequential increase in gross margin was well ahead of normal seasonality. Operating expenses as a percentage of sales decreased 110 basis points year over year and 70 basis points sequentially to 8.5% representing an historical low level for Arrow. On an absolute dollar basis operating expenses declined 9% on a year over year basis and only increased 5% sequentially despite an almost 15% increase in sales. Operating income was $140 million an increase of 11% year over year and an increase of 69% sequentially. The leverage in our model is clear, as operating income grew almost four times faster than sales year over year and almost five times faster than sales sequentially. Operating income as a percentage of sales increased 20 basis points year over year and 110 basis points sequentially reflecting improved gross profit performance and our efforts to simplify the business and drive improved efficiencies across the entire organization. Our effective tax rate for the quarter increased to 33.3% with greater contributions and profits from North America and Europe. For modeling purposes you should assume that our tax rate for the next few quarters will be between 32% and 33%. Net income was $77.5 million up 8% compared with last year and up 73% sequentially. Earnings per share were $0.65 and $0.64 on a basic and diluted basis respectively. This marked our 13th consecutive quarter of positive cash flow generation with cash flow from operations of more than $200 million and almost $850 million generated for the full year. Focused management of working capital enabled us to achieve a record low level of working capital to sales of 10.5%, a decrease of 330 basis points year over year as we continue to efficiently manage all levers of our working capital. This remains a critical aspect of our strategy as it creates greater flexibility for us as we go forward. Our balance sheet and capital structure remain strong with conservative debt levels, with net debt to capital at record low levels and a net to EBITDA ratio of less than one. This all gives us strength to participate to a greater extent in the marketplace. In addition to our cash, our access to committed liquidity facilities provides us with flexibility to take advantage of opportunities that may exist in the marketplace. With our improvement in our operating performance, our return on invested capital approaching nearly 12% as rebounded to levels approaching our long-term targets and we remain committed to creating shareholder value, and generating returns in excess of our cost of capital over the long-term.
Michael Long : Thank you Paul, in summary we performed very well this quarter and ended the year on a strong note, 2009 was one of the most challenging economic periods in recent history with extremely limited visibility and more uncertainty in the marketplace than normal. Our sales excellence strategy, improved efficiencies from our disciplined approach to expense reductions, our focus on efficient working capital management, have all served to strengthen our already strong financial position and it will allow us to accelerate our strategic priorities as we enter 2010. I’m confident that the Arrow team will leverage the momentum from the third and fourth quarters to maximize sales and profitable share growth, while taking advantage of opportunities in the market. We will continue to selectively invest in initiatives we believe will provide the best growth and differentiation such as ERP, our vertical markets, emerging markets, and our talent and we’ll continue to be a critical link in the supply chain as our customers and suppliers depend on us for the best in class service and operational execution. I’d personally like to thank all of our employees around the world who have sacrificed and persevered through the challenges of the past year, while staying focused on our growth strategy, strengthening our industry leading position and protecting our financial position. We are glad that we have returned the majority of the employee sacrifices as we enter 2010 which are reflected in our guidance going forward. Looking ahead to the first quarter we believe that the total sales will be between $3.675 and $4.275 billion with global component sales between $2.675 and $3.075 billion and global enterprise computing solutions sales between $1 billion and $1.2 billion. As a result of this outlook we expect earnings per share on a diluted basis excluding any charges to be in the range of $0.50 to $0.62 per share.
Operator: (Operator Instructions) Your first question comes from the line of Craig Hettenbach - Goldman Sachs
Craig Hettenbach - Goldman Sachs: The tone in the press release and on the call sounds a little stronger on the focus on growth can you just discuss just what you see in the competitive environment and as the industry rebounds what you’re thinking from a market share perspective.
Michael Long : We first off, do expect to outgrow the market and as we said our customer surveys are showing us that customers are still expecting growth into the first quarter. We believe we’ve positioned our inventories to capture that growth. I believe our sales force is looking for more selling opportunities and servicing the accounts better. We would expect during the first quarter to outgrow the market that is presented to us.
Craig Hettenbach - Goldman Sachs: As a follow-up can you just, it was mentioned that you’ll see some of the employee costs come back in as the environment improves, can you just discuss for 2010 what you’re expecting for OpEx growth relative to sales growth.
Paul Reilly : First off on the temporary expense reductions that we initiated in 2009 recall that our target was $50 million and we probably exceeded that a bit so we would expect to see round numbers let’s call it $12 to $13 to $14 million come back in on a quarterly basis. As Michael mentioned we’ve given those rewards back to the employees. We appreciate their great sacrifice to generate more cash when liquidity was critical in 2009 and then really what we’re looking for is our variable expense to sales increase in generally 3 to 4%, I use generally because it depends on what business it comes from. But also remember that with our in hand and improved liquidity we can afford to invest as the recovery accelerates. So that means that we’ll look to invest in really customer facing employees and that’s an opportunity for us to outperform the marketplace because some of our competitors may not be as strong from a liquidity standpoint or may not have adjusted their expense structure the way we have. So to try to break it down into chunks, there’s two that I can quantify. One is which will be around the temporary savings, the second one which would be our historical 3 to 4% of variable cost for each dollar of sales and then that third piece which that’s competitive advantage for us and not going to be willing to lay it out for anybody at this point in time, but know that we’ll invest ahead of the market to ensure we capture more of the market going forward.
Operator: Your next question comes from the line of Matt Sheerin - Thomas Weisel Partners
Matt Sheerin - Thomas Weisel Partners: A couple of questions regarding the component business, obviously stronger than seasonal and your guidance and your tone also implied that you’re seeing better than seasonal strength across most businesses but if you look at the guidance still pretty wide range of guidance, about a $500 million gap between the high end and the low end, is that because you still don’t have a lot of visibility in China because post Chinese New Year you don’t know how that’s going to play out or what are the other factors there.
Michael Long : There’s a couple of factors that go into that and I would love to tighten that range, one of them as you know we always come into this problem in Q1 with Asia with the Chinese New Year but having said that we’re seeing increased demand on our business across all regions. The problem we still fundamentally struggle with is the visibility of the customers out. So while we’re managing our inventory to more of what I would call short-term needs by the customers we have yet to totally see the supply chain come out with annual orders or even six month orders to give us that better visibility. So in many ways we’re seeing and managing this increased growth internal without a lot more visibility from the customers.
Matt Sheerin - Thomas Weisel Partners: So is that a good way in some ways because customers are still being relatively cautious because as you know there’s a concern with inventory dollars creeping up and book to bill is going out that customers will just order and really not know what they’re going to end up needing so is that a good thing that customers are still being relatively cautious.
Michael Long : I believe we would all in the industry would love to see more visibility. We have started to take as we’ve indicated to you guys that our design win activity has been increasing. And since that has been increasing we’ve started to take the parts that are design win parts for our manufacturers and started to pipeline them further out which will hopefully give us more inventory in those products. And we’re trying to use the information we have to make sure we have the right inventory to capture what we think is an upside. We would all like to see the visibility from the customers returning their production levels of the past but I believe they’re still reconciling their inventory in house with their production needs and don’t quite have all of that balanced yet. But I believe as the year goes on visibility will get better and they will get that problem solved.
Matt Sheerin - Thomas Weisel Partners: And can you be more specific about the book to bill numbers that you talked about, you said well above one.
Michael Long : It was well above one and we’re pretty proud of the book to bill for the quarter. If you look at it it would indicate that we will be above seasonality in all three regions for the first quarter.
Matt Sheerin - Thomas Weisel Partners: But is that 1.1, 1.05, could you be more specific.
Michael Long : Its closer to your first number.
Matt Sheerin - Thomas Weisel Partners: And then on the ERP roll out, it sounds like its been going fine, I know the plan was to take the components roll out to Europe this spring, is that still on track.
Michael Long : Yes it is and let me back up on that, we did complete the enterprise computing business last year in 2009 and that roll out we believe was successful. One of the things that was not in our scope of that roll out initially was our software business. As you know we acquired that after we started working on ERP but we were able to get that done in the year last year. We have now installed in Australia New Zealand and had a successful launch there and have retired that system. We’re doing some extra programming if you will around the volumes that will be increased as we go to Europe and we fully expect to be on the schedule that we’ve rolled out for that for the year.
Operator: Your next question comes from the line of Brian Alexander - Raymond James
Brian Alexander - Raymond James: Maybe just to pick up on that last question, you talked about Europe but I think your original expectation as we see the full benefit of ERP savings in 2011 and I don't think you’ve converted the North America components business either, so could you just give us an update on whether the entire ERP roll out is still on track and if you could just remind us of what those savings will be once you’re finished.
Michael Long : We expect to have Europe rolled in 2010 and we expect that to remain on schedule. We had about three months hiccup and I wouldn’t really even call it a hiccup. It was extra programming to take care of the volume base that exists in Europe versus Australia New Zealand. Its much like the same issues we found when we went from our Sun business to our IBM business that the transaction load was heavier in that. And we decided to do some extra programming before we did the install. Doing that programming up front allowed the installs if you will or the implementations to go faster as we proceed and that’s exactly where we are with the program right now. And we’re managing it a year at a time and we do expect Europe to be rolled out this year.
Brian Alexander - Raymond James: I was also asking about North America because I think that still remains to be converted although Europe may be a little bit more complex, so any thing on sort of time wise for the project.
Michael Long : We’re expecting to be done in 2012.
Brian Alexander - Raymond James: And the savings in 2012 versus your original estimate, no change there.
Michael Long : We don’t have any changes in our estimates of savings or benefits along the way.
Paul Reilly : Its pretty interesting because as we put the system in, Michael already mentioned we were able to accelerate in the software business, we’re seeing that the benefits are more than we thought so we’re even more confident now that we’ll deliver on the benefits though we’ve taken a very risk adverse approach to what we’re doing so it means probably a six months to a year later to get the full benefits but we think the benefits will have some upside. Not ready to quantify that yet because Peter Kong and Andy Bryant are on the call and we had to twist their arms a little bit to come on the line and put it in there plans, but what we’re seeing really is upside on the capabilities of the package and you may recall we’ve also said all along that the real benefit of the package will come as the business goes back to normalcy where we are at less in the way of expenses and the uptick. So we’re still very excited about it but yes, we’re probably slipping six months or so.
Brian Alexander - Raymond James: Just a follow-up on the March quarter outlook, operating margins down maybe 20 basis points sequentially historically not uncommon to see overall operating margins up, although that was in years where your components mix was heavier especially in the western markets, and you’re adding back some temporary costs so understandable that you wouldn’t see the same rate of expansion but maybe could you talk about your outlook by segment specifically within the components business in the March quarter, how much are you expecting operating margins to expand and how much of that is due to continued gross margin improvement which you just saw in December.
Paul Reilly : We absolutely expect to see a continuation and expansion of gross profit percent in each of the businesses, in our core businesses so that’s an absolute given. In fact that’s one of the reasons why when people ask about the wide range of guidances, we’re not sure that we can call that with as much accuracy so that’s the one thing that really is a big cloud for me. So we expect GP expansion in all of the regions as we go forward and we also would expect that operating margins will expand but we have to also factor in as we’ve talked about the temporary savings that we’ve had in 2009 that will come back in 2010. Remember that most of those were in the components business so when we talk about $12 to $14 million of temporary expenses coming back, the more heavily tilted towards the components business then they may have been in the computer products business. So that distorts to a certain extent how you might think about the segment change in operating income percent.
Operator: Your next question comes from the line of f William Stein - Credit Suisse
William Stein - Credit Suisse: Maybe address book to bill, trying to address it a little more directly, when we’re well above 1.0, maybe 1.1, something investors are always concerned about is double ordering. Can you tell us whether you think you might be seeing that despite the no change or no unusual order cancellations currently. It seems like this is something we never see coming, eventually it happens in every cycle. If you don’t think its happening what’s giving the company confidence that its not.
Michael Long : Typically when we see double ordering you see an increase of cancellation rates on those orders. And what happens in a double ordering scenario is a customer may order a part from Arrow, may order a part from our competitor and when the part shows up they call the other guy and cancel the order. So monitoring your cancellation rates during an increase in book to bill really go hand in hand. And if you go through the last actually several declines that the industry has seen and then been concerned with double ordering where double ordering and strong allocation have gone together cancellation rates have increased. We have not seen an increase in our cancellation rates and in fact in some regions those cancellation rates have gone down. So that’s what gives us the confidence that the inventory we’re bringing in does have a home for it. And we are seeing an increase in demand.
William Stein - Credit Suisse: And then if I can go back to the restructuring and margin comments for a second, it seems that typically, if I contemplate the midpoint of the revenue and EPS guidance it looks like you’re guiding margins down about 30 basis points and I think normal seasonality would suggest maybe more flattish is that because we’re seeing some of the cost benefits that were achieved flow back into the model or is there anything else going on.
Paul Reilly : You’re right, you got it right on, that some of those temporary savings are coming back in. I look at it is that our employees sacrificed tremendously in 2009 and we said when we improved profitability we’d reinstate those and we have. I think part of it is a little bit of mix also. So there’s lots of different moving factors as we look forward. Remember we have targets set for operating income dollars and percent and for working capital per sales dollar and working capital in total for each of the businesses and that’s how we manage the portfolio. How it flows out for Arrow Inc. or the segment itself gets impacted by product mix as well as geographic mix.
Operator: Your next question comes from the line of Jim Suva - Citigroup
Jim Suva - Citigroup: What do you expect for SG&A in dollar terms in the March quarter and for interest expense.
Paul Reilly : Well the second part I can answer very easily because its going to be I think around $21 to $22 million in interest and then we’re not really talking about breakdowns of actual GP percent targets or operating expense targets at this point in time because it depends quite honestly in part on the pace of the recovery and the mix of the business. So I would say that our expectations would be that Arrow Inc. would see an uplift in GP percent in the first quarter as we get more components business, that also has a higher cost basis so we see a bit of an uplift in the operating expense percentage but for sure year over year we should see an uplift in our operating income percent.
Jim Suva - Citigroup: And then can you talk a little qualitatively about what your [var] customers on the computing side are telling you now as far as pipelines of quotable new business that they might be seeing and what areas, product areas specifically seem to be garnering the most interest at this point from, and rolling our new projects.
Michael Long : As you know and as we’ve reported our business did perform well and ended on a strong note and we do believe the growth is in line and at the high end of normal seasonality. We’ve seen the market all year long improve in storage so storage software and we’ve seen in increase in proprietary servers of recent. Those activities for us or those product lines for us have been relatively successful in the near-term here. Earlier in the year they were down. If you look at some of the growth estimates for 2010 there’s a presumption that the market will grow at mid single-digits maybe a little less than that. We would expect to outgrow because we believe the storage market will grow a little faster. We have a great practice there. We believe software will also continue to grow. We have a good practice there. And even hardware is expected to grow this year and we expect to outgrow that market albeit the market is not expected to be exuberant. Our resellers these days appear to be working again on more productivity enhancement for the data center. And we’ve seen them if you will be more bullish on the upcoming year.
Andy Bryant : I would use cautiously optimistic, Michael said bullish, it depends on the reseller that we’re talking to but I think in general the reseller community has a positive outlook for 2010. I think the big swing in the number for our business in the enterprise space is we’re still looking for the large enterprise rollout projects to return. And I think when those large enterprise rollouts return we’re well positioned as Michael mentioned from server storage and now even virtualization, we had a spectacular quarter in virtualization in Q4. We’re well positioned to take advantage of it. So overall I think its positive.
Operator: Your next question comes from the line of Shawn Harrison – Longbow Research
Shawn Harrison – Longbow Research : Looking at just the working capital management great job done this quarter, maybe if you could comment on what you see in terms of 2010 both in terms of the cash cycle and some of the pieces and just can you maintain working capital say on average around 10% or less than sales.
Paul Reilly : It’s an interesting question because we’ve made so much continuous process and in fact we’ve probably outperformed any measure of expectation that we had for 2009. If I look to the full year 2010 I would expect for us to be cash flow from operations positive. But when I say that I do have one caveat which is we look at the liquidity that we have built up, real liquidity I’m not talking about committed but cash on the balance sheet as a competitive tool for us. And that may mean that along the way we may choose to be prudent but more aggressive in taking some extra risk around customer credit or around inventory. You look at the fourth quarter we improved two days year over year in DSOs, inventory turns improved, but that’s all real blocking, tackling. We may choose to be a little bit more aggressive and use some of that liquidity, balance sheet driven liquidity to be more competitive. So and that only depends on the market, develops throughout the year, Michael’s talked about it, visibility is still really restricted to about one quarter. But we’ll make those decisions as we roll forward so, would I expect us to be cash flow positive, yes. Pace and recovery will determine exactly how much we will be cash flow positive.
Shawn Harrison – Longbow Research : And then what should capital spending be maybe a range for 2010.
Paul Reilly : I think our number was about $121 million in 2009, I would say that if you used a rate that’s about $125 million, it will be close enough.
Shawn Harrison – Longbow Research : And then based upon just the commentary and the presentation it looks like with gross margins in the electronic components up 100 basis points sequentially that your gross margins in the computer products business declined sequentially, if that’s correct maybe you just kind of talk about the dynamics that occurred this quarter to maybe drive it down sequentially.
Paul Reilly : Operating income percent was up sequentially in our ECS business in both North America and in Europe.
Shawn Harrison – Longbow Research : Operating income, was gross margin percentage up as well.
Paul Reilly : Yes gross margin percentage was almost on top of Q3. So it was within spitting distance of the same level. I think part of that is driven a little bit by mix of product but we’re right about for the entire segment right about on top of each other.
Shawn Harrison – Longbow Research : So it was more mix related than anything else.
Paul Reilly : Yes, absolutely.
Michael Long : I think overall if you’re having a question here about the model we have seen very stable gross margins in the computer business for the last three years. Its not been dramatically different over that timeframe. We got a little bit of a decline as you well know into the first and second quarters of the year given the economy but for the most part that business has been stable. And I think we’d all would have been very excited if the entire business would have the stability of the computer business on the gross margin side.
Shawn Harrison – Longbow Research : And the lift going forward was in the gross margin is mainly tied toward Europe continuing to come back since it sounds like North America may be performing within the targets.
Michael Long : We have seen this year a very nice increase in our margins and profitability in Europe. We still have a ways to go and as we said Europe reached a record quarter for us in operating income and we still believe that our team there can improve on what they’ve done so far so you’re right the expectation for Europe to come up faster, North America is already well run and producing good results so the improvements this year for us will primarily come out of Europe.
Shawn Harrison – Longbow Research : And that’s more volume versus process.
Michael Long : Yes, it’s a matter of continuing to round out or portfolio.
Operator: Your next question comes from the line of Sherri Scribner - Deutsche Bank
Sherri Scribner - Deutsche Bank: I just wanted to ask about the SG&A again, I guess I’m just a bit confused I know you said gross margin would be about $12 to $14 million higher than 2009, is that on a year over year basis, is that on a sequential basis, and does that suggest the dollar amount of SG&A will be up sequentially.
Paul Reilly : I was referring to operating expenses on a sequential basis. Though to be honest year over year it would be very similar because we implemented the employee sacrifices in the first quarter. So as an example the furlough, the temporary time off that we instituted in the first quarter of last year so it would, those costs would be out last year at the beginning of the first quarter this year. The other thing that I didn’t mention, I probably should I apologize, is don’t forget we have a full quarter of the A.E. Petsche operating expense dollars in Q1 where we only had 10 days in Q4. That will naturally drive some incremental if you’re trying to do a roll [inaudible] from Q4, as you add the dollars together that’s another item that would increase SG&A year over year and sequentially.
Sherri Scribner - Deutsche Bank: So we’ve got OpEx about $12 to $14, there’s A.E. Petsche which is another couple of million and then you said there’s 4% on top of that related to variable.
Paul Reilly : Yes so we’re saying $12 to $14 million in temporary savings coming back in, A.E. Petsche would be $7 to $10 million coming in and then we said variable would be 3% to 4% round numbers.
Sherri Scribner - Deutsche Bank: That suggests that operating expenses will tick up pretty significantly in the quarter.
Paul Reilly : Yes, that’s true but we’ll still be able to deliver very competitive earnings per share because we’ve taken a significant number of fixed costs out of the business and they’re not coming back in at the same pace of the increase in GP dollars as we go forward.
Sherri Scribner - Deutsche Bank: And then as we look through the rest of the year, would you expect operating expenses to continue to more a bit higher as we move through 2010 and revenue improves, or can you keep them relatively flat.
Paul Reilly : Our real challenge will be to ensure that the permanent expense reductions that we took out, we say permanent based upon that level of activity do not come in at the same pace as revenue dollars or GP dollars. So that is what our challenge, we say about managing the business a challenge, its not impossible, and that’s what we’re managing to. And Andy’s focused on it in the ECS business and Peter Kong is focused on it in the components business and that’s really what we’ll manage to. We don’t want those expenses to come back in. Remember we’ve talked about in the past our success ratio has been about 60%, when I say success is 60%, as you go back to periods of normalcy those permanent costs that we got out, really about 60 to 70% are kept out of the business and that’s really our target because that means that we’ll get an uplift and when you do it on a comparative basis to the last time we were at that level of sales, we’ll be more profitable.
Sherri Scribner - Deutsche Bank: And can you just remind us where we are in terms of restructuring charges, do we have more restructuring charges in March.
Paul Reilly : I think we’ll see some more dollars because the way the accounting rules are is when the person leaves the payroll, that’s when the restructuring charge is incurred. We did have some people in Europe because of the notice period that we’ll have some impact on Q1. I don’t have a hard fast number right now, but you’re seeing that the charge that we’ve incurred throughout the year has come down on a quarterly basis and that would continue. So that would be my expectation as we go into Q1.
Operator: Your final question comes from the line of Brendan Furlong – Miller Tabak
Brendan Furlong – Miller Tabak : Inventory build possibly in the March quarter in terms of dollars, are you hoping to build some more for growth later in the year.
Paul Reilly : We were up about $100 million in what I would call our quality components inventory and I use quality, that’s the normal stuff we sell because we’ve talked about some of the stuff that’s slower turning as well as the fee per service type engagements that go up and down depending upon the customer and/or supplier needs. So that’s about a 10% improvement or increase in Q4. So we don’t have as much visibility into what demand will be in Q2 but we have very clear visibility into lead times and we have a regular dialogue probably daily with suppliers and that’s how we adjust up or downward so I would think that we would see a bit of an uplift in inventory dollars on March 31, but its tough to quantify whether its going to be a very large number or not. We’ve been managing our turns pretty tightly. We’re still below record level of turns so we may decide to tighten up and get back up to the record levels. We may let it slide a little bit just to be able to better service the marketplace going forward.
Brendan Furlong – Miller Tabak : And the question, my assumption on your gross margins were that your ECS gross margins were down quarter on quarter as well, and now you’re saying they’re flat which is fine but normally correct me if I’m wrong, you normally get a bump up, your gross margins in ECS normally increase in the December quarter because of seasonality, is that correct or am I wrong there.
Paul Reilly : Yes I said it was flattish, so within a couple of basis points of being up or down, and the thing that for us drove the change really is mix in products more than anything else. So that’s really what we’re seeing there is the mix changes, because don’t forget there’s a different profit profile for storage versus servers. There’s different profit profile between the multitude of servers that are out there, software is different, services are different to those all impact the blended rate if you will. We did not see any significant and I’m looking at Andy right now just for confirmation and he’s saying yes, we did not see any significant gross profit pressure on product sets as we moved through the fourth quarter.
Brendan Furlong – Miller Tabak : And then to go back to that last question, the $12 to $14 million that’s going to feed back into the model, I’m confused now, is that going to bleed in over the course of the year, or they’re all going to flow in in Q1.
Paul Reilly : Its $12 to $14 million per quarter and it comes in January 1 because that’s when we gave back the employees the vast majority of the give backs they gave last year. Because we said, hey look as soon as we get back to more rational time periods and more rational profit profile and we can afford to give it back we will and we’ve proven, we did it last year with tremendous liquidity. You look at $850 million of cash flow, that’s a significant number out there and you look at how we see that the revenue number is going up, the GP number is going up, and we’ve proven again or validated again even to ourselves, the significant leverage that exists within our business.
Brendan Furlong – Miller Tabak : There’s no harm in people getting paid.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Greer Aviv: Thank you. Before ending today’s call for those participating in today’s web cast we will quickly scroll through the slides referenced in our web cast that contain a reconciliation between GAAP and adjusted results. This reconciliation is also included in our earnings release and both the release and this presentation will be available in our website. I would like to thank all of you for taking the time to participate on our call this afternoon. If you have any questions about the information presented today please feel free to contact Paul, Mike Swanson, or myself. Thank you and have a nice day.